Operator: Good day, and welcome to Pacific Biosciences of California, Inc.'s Fourth Quarter and Full Year 2025 Earnings Conference Call. All participants will be in listen-only mode. Please note that today's event is being recorded. I would now like to turn the conference over to Kelly Gurrow with Investor Relations. Please go ahead.
Carrie Mendivil: Good afternoon, and welcome to Pacific Biosciences of California, Inc.'s Fourth Quarter and Full Year 2025 Earnings Conference Call. Earlier today, we issued a press release outlining the financial results we will be discussing on today's call, a copy of which is available on the Investors section of our website at www.pacb.com or as furnished on Form 8-Ks available on the Securities and Exchange Commission website at www.sec.gov. A copy of our earnings presentation is also available on the Investors section of our website. With me today are Christian Henry, President and Chief Executive Officer, and James Gibson, Chief Financial Officer. On today's call, we will make forward-looking statements, including, among others, statements regarding predictions, estimates, expectations, and guidance. You should not place undue reliance on forward-looking statements because they are subject to assumptions, risks, and uncertainties that could cause our actual results to differ materially from those projected or discussed. Please review our SEC filings, including our most recent Form 10-Q and 10-Ks, and our press releases to better understand the risks and uncertainties that could cause results to differ. We disclaim any obligation to update or revise these forward-looking statements except as required by law. We will also present certain financial information on a non-GAAP basis, which is not prepared under a comprehensive set of accounting rules and should only be used to supplement an understanding of the company's operating results as reported under U.S. GAAP. Reconciliations between historical U.S. GAAP and non-GAAP results are presented in our earnings release, which is available on the Investors section of our website. For future periods, we are unable to reconcile non-GAAP gross margin and non-GAAP operating expenses without unreasonable effort due to the uncertainty regarding, among other matters, certain acquisition-related items that may arise during the year. A recording of today's call will be available shortly after the live call in the Investors section of our website. Those electing to use the replay are cautioned that forward-looking statements may differ or change materially after the completion of the live call. I will now turn the call over to Christian. Thank you, and good afternoon, everyone.
Christian Henry: Our fourth quarter results exceeded expectations and were highlighted by all-time record consumable revenue and strong instrument placements for both the Revio and the Vega platforms. Our strength in consumables also drove gross margins higher. We believe that the momentum we built as we exited 2025 will continue in 2026 and that we are well positioned to execute on our strategy to drive both revenue growth and gross margin expansion in 2026. As previously announced, fourth quarter revenue grew 14% year over year and 16% quarter over quarter to $44.6 million. Our sequential step up was driven by increased Revio and Vega sales as well as record consumables reflecting meaningful traction across a range of clinical sequencing applications. For the year, we recorded $160 million in total revenue representing 4% growth over 2024. Consumable revenue drove the majority of our growth both on a quarterly and full year basis. In Q4, consumable revenue grew 15% year over year reaching another record, and in fact three of the past four quarters were record consumable quarters. We were especially pleased by the 55% growth in consumables for clinical and hospital customers in 2025. Our growth in the clinical market was largely driven by a combination of whole genome sequencing applications in rare disease, and targeted applications that leverage our PureTarget kit. This traction has helped offset the continued significant pressure that our customers are experiencing with regard to the academic funding environment, which has adversely impacted our instrument sales in 2025. Turning to instruments, we shipped 21 Revio and 42 Vega systems in the fourth quarter, bringing our cumulative shipments to 331 and 147 systems respectively. Taking a closer look at Revio, placements were impacted throughout the year due to a challenging funding environment, particularly in the Americas. That said, we were pleased to see strong momentum in the fourth quarter with an increase in both shipments and pull through per system compared to the third quarter. In 2025 approximately 20% of Revio orders were for customers who bought more than one system, and these multi-system orders give us confidence that our customers believe they will be scaling up in 2026. We also saw solid ordering trends for our Vega platform in the fourth quarter, particularly in EMEA. Some of the strength in Vega was due to orders that were delayed in the third quarter, but we are also seeing momentum in the Vega sales pipeline which should result in placement growth in 2026. One of the key strategies behind the development of the Vega platform was to create a more accessible HiFi sequencing platform so we could reach new customers. We are pleased to see that that strategy was working, as approximately 65% of the Vega placements in 2025 were to new-to-PacBio customers, demonstrating this instrument is successfully expanding the ecosystem for HiFi long-read sequencing users. From a regional perspective, Americas revenue increased 3%, Asia Pacific revenue increased 4%, and EMEA revenue increased 45% year over year in the fourth quarter. Each region benefited from higher Vega instrument shipments and Revio consumables, and we are particularly pleased with the strong growth in EMEA as more of our clinical customers shifted from pilot testing to broader clinical adoption. As we look ahead into 2026, we believe that our growth will accelerate as clinical adoption of HiFi continues. However, we are not anticipating that the academic funding environment will improve significantly. Considering these factors, we expect 2026 revenue to be in the range of $165 million to $180 million, representing approximately 8% growth at the midpoint of $172 million. James Gibson will share more details on our outlook and our underlying assumptions later on. Now let us take a closer look at our consumable growth over the last couple of years. In 2025, we delivered 19% consumable shipment growth supported by our human-focused markets. When looking at our performance across non-human markets, we have grown in the low single digits, primarily due to funding challenges in the academic segment, as well as the industrial and agricultural markets, which has historically been a meaningful portion of our business. We expect to see growth in this segment accelerate as these end markets start to recover. Within our human-focused markets, we have delivered a strong three-year CAGR of 23%, driven primarily by the launch of the Revio system, which offers greater scale than previous systems, and our focus on driving the adoption of clinical applications, including the launch of our PureTarget family of products. As I mentioned earlier, we delivered 55% growth in consumables to clinical and hospital customers in 2025. We plan to continue investing in this area in the years ahead with an initial focus on rare disease, oncology, and carrier screening. Rare disease genomics represents one of the largest and most historically underpenetrated opportunities in precision medicine. More than 300 million people globally are living with rare disease, yet for decades a significant portion of patients have remained undiagnosed or misdiagnosed due to fundamental limitations in existing sequencing approaches. HiFi is increasingly becoming a trusted backbone for rare disease genomics because it delivers highly accurate comprehensive views of the genome that can capture substantially all classes of variants in a single assay. As a result, researchers and clinicians are now able to move beyond incremental improvements and meaningfully improve diagnostic yield, disease understanding, and therapeutic development. Importantly, this opportunity is still in its early innings. We believe adoption today represents only a small fraction of the potential patient population, but momentum is building as institutions validate the clinical and economic value of long-read sequencing. I will briefly walk through a few examples that demonstrate the value of HiFi and how it is helping these customers. At University of Washington Medicine, HiFi is being used to study sudden unexplained death in childhood with the goal of preventing the loss of hundreds of children per year. The program has begun sequencing 200 families supported by the Sudden Unexplained Death in Childhood Foundation out of a broader cohort of more than 2,000 families. At Ambry Genetics, HiFi is being implemented in the ONCE study this quarter to assess the impact of long-read sequencing on diagnostic yields in patients with previously negative exomes and genomes. Ambry expects to enroll approximately 1,000 patients in 2026, highlighting the growing role of HiFi as a diagnostic tool. Through our collaboration with N=1 Foundation and Esperare, HiFi is being used to comprehensively characterize the genomes of patients across dozens of ultra-rare diseases and to support the development of targeted antisense oligonucleotide therapies. This demonstrates HiFi's role not only in diagnosis but enabling truly individualized treatment strategies. And this morning, we announced the addition of HiFi to the IHOPE initiative, which brings long-read genomic sequencing to one of the world's largest equitable rare disease genomic testing networks. With more than 1,000 patients supported annually through 25 clinical sites across 14 countries, HiFi will continue to expand the diagnostic possibilities for thousands of families worldwide. Taken together, we believe these examples illustrate why HiFi is uniquely positioned to become the leading sequencing technology in rare disease genomics. We look forward to continuing to support our customers as these programs scale. As I mentioned, we are also focused on supporting the carrier screening market. The Babies in Focus project aims to sequence at least 2,000 samples across selected long-read technologies. We anticipate that our service partner, European Genomics UK, will sequence 1,000 of these samples between April 2026 using PacBio technology. This work is a vital step in demonstrating the feasibility of scaling long-read sequencing for a potential national newborn screening program. We believe our performance in this cohort will help build the evidence base for the UK's 2026 to 2030 spending review, positioning our technology for long-term growth within the NHS. Furthermore, the contract includes an optional extension for up to 1,000 additional samples through early 2027, providing a clear path for continued participation in this landmark study. HiFi also delivers a meaningful productivity and economic advantage by consolidating what has historically required multiple sequential tests into a single assay. Today, many rare disease patients undergo years of serial testing ranging from single gene tests and panels to exomes, short-read genomes, repeat expansions, and methylation assays. This results in long turnaround times, fragmented workflows, and a significant cost for our customers. With HiFi whole genome sequencing, customers can replace many of these individual assays with one comprehensive test that captures substantially all variant classes upfront. This reduces time to answer from years to days, simplifies laboratory workflows, and lowers total testing costs meaningfully while also generating a high-value dataset that can be reanalyzed as new insights emerge. Taken together, this combination of speed, workflow efficiency, and improved economics reinforces why HiFi is increasingly being adopted as a frontline solution in rare disease genomics. We are also making great progress with respect to our population sequencing. In 2025, we saw studies like the All of Us study publish their first datasets on long-read sequencing in October; the Long Life Family Study that is targeting to sequence up to 7,800 samples; and the Asian Pan-Genome Consortium, which is targeting to sequence more than 10,000 samples and creating the most comprehensive pan-genome reference ever created. We look forward to enabling many more of these large-scale studies in the future. We are also seeing rapid momentum in the scale of data being generated on our HiFi platform alongside a growing body of peer-reviewed evidence that reinforces its value. In 2025, our customers generated more than 60% year-over-year growth in HiFi data, making HiFi one of the fastest growing datasets in life sciences. Importantly, this growth has effectively doubled over the past 18 months and is significantly outpacing the broader market. In parallel, cumulative peer-reviewed publications have grown to nearly 12,000, with publication growth accelerating year over year. We believe this combination of rapidly expanding data output and evidence is critical, particularly in areas like rare disease where diverse, high-quality datasets are essential to uncover complex biology, improve diagnostic yields, and ultimately drive new insights for patients. Now I would like to turn to SparkNex, our next-generation consumable chemistry built around the multi-use SMRT Cells. We believe that SparkNex represents a fundamental step forward in our ability to deliver high-quality HiFi at a highly competitive price point. By enabling reuse of the SMRT Cell—historically the most expensive component of our sequencing workflow—we can amortize that cost across multiple runs, lowering the price per genome for customers while simultaneously expanding our gross margins. SparkNex is designed to deliver the most complete view of the genome: whole-genome HiFi sequencing at scale for less than $300 per genome. Importantly, SparkNex also increases system throughput, delivering approximately 25% higher output per SMRT Cell, as validated through customer-generated data in our beta program. This represents a major inflection point for our business as we deliver improved performance, higher throughput, and better economics all at the same time. Today, we are pleased to share new and encouraging data from multiple customers participating in our SparkNex beta program. On the left, you can see a slide with data showing SparkNex has higher yields than Spark when sequencing high-quality human DNA libraries. The SparkNex runs have longer insert lengths, which likely contribute to the yield difference, and also higher read quality. We continue to evaluate the chemistry across additional sample types and will share the results as they become available. On the right, one of our customers generated data supportive of long-read sequencing providing a higher diagnostic yield, shorter turnaround time, and fewer required tests, making HiFi a great choice for clinical use. Given the success of the early beta program, in a few weeks we will expand the beta program to more customers both domestically and internationally. We look forward to launching SparkNex broadly later this year. As we look ahead to the launch of SparkNex in 2026 and its potential to further strengthen our financial profile, it is important to recognize that this progress is building on a foundation that we have already established. Over the past few years, we have made meaningful improvements in our financial profile with improved non-GAAP gross margins and operating expenses as well as significantly lower cash burn. Non-GAAP gross margin has improved from 27% in 2023 to 40% in 2025, representing a 1,300 basis point improvement since 2023 and 700 basis point improvement in 2025 alone. Non-GAAP operating expenses have been reduced from $355 million in 2023 to $230 million in 2025, representing a 35% reduction since 2023 and a 20% reduction year over year. Cash burn, excluding financings and acquisitions, improved from $214 million in 2023 to $105 million in 2025, representing a 51% improvement since 2023 and a 44% improvement year over year. We ended the year with approximately $280 million in cash and investments. These actions have significantly improved the underlying economics of the business and we believe position us for a strong year ahead as we prepare to launch additional products and drive adoption in the long-read sequencing market. I would also like to take a moment to thank our team for their hard work and dedication over the last few years, which has made these transformational improvements possible. Last week we announced the sale of our short-read sequencing assets for net proceeds of approximately $48 million. This transaction meaningfully strengthens our balance sheet and further extends our cash runway. This action is a continuation of the strategic plan we outlined last April to sharpen our focus and concentrate our resources on our differentiated long-read sequencing portfolio. We believe this transaction positions us to execute more effectively on our mission to develop the world's most advanced sequencing technologies. With greater flexibility to invest in the areas where we can have the biggest impact, we are now better positioned to accelerate adoption of our long-read platforms across attractive growth markets and execute with confidence as we enter our next phase of growth. We remain committed to supporting our current Onso customers through this period with ongoing commercial support and consumable supply this year. With that, I will now turn the call over to James Gibson to provide more details on our financial performance and outlook for 2026. James?
James Gibson: Thank you, Christian. I will be discussing non-GAAP results, which include non-cash stock-based compensation expense. I encourage you to review a reconciliation of GAAP to non-GAAP financial measures in our earnings press release. Unless otherwise noted, all growth rates are year over year. Total revenue for the fourth quarter grew 14% to $44.6 million compared to $39.2 million in 2024. Consumables revenue increased 15% to $21.6 million in the fourth quarter with annualized revenue pull through per system at $242,000. The consumables growth was driven by an increase in our installed base as well as consistent system utilization, despite the difficult funding environment. Instrument revenue increased 13% in the fourth quarter to $17.3 million, primarily driven by an increase in Vega systems, which had initially commenced shipment in Q4 2024. We ended the quarter with 331 cumulative Revio system shipments and 147 cumulative Vega system shipments. In the fourth quarter, we placed several Revio instruments with key institutions at lower prices, and we believe these strategic accounts will ultimately drive higher utilization and above average consumable pull through. As a result, the ASP for Revio in Q4 was approximately $482,000, which was roughly flat compared to the third quarter. Service and other revenue increased 11% to $5.7 million in the fourth quarter, primarily driven by an increase in service contract revenue related to Revio. From a regional perspective, Americas revenue increased 3% to $20.7 million in the fourth quarter, primarily due to an increase in Revio consumables and higher Vega instrument shipments. Asia Pacific revenue increased 4% to $9.3 million in the fourth quarter, primarily due to increased sales related to Berry Genomics, following the regulatory approval for clinical long-read sequencing in China as they enable routine clinical testing in hospitals for thalassemia, as well as higher Vega instrument sales, which again partially offset lower Revio instrument shipments. EMEA revenue increased 45% to $14.6 million in the fourth quarter. This strong growth was driven by an increase in Vega instrument shipments as well as higher Revio consumables as more of our clinical customers shifted from pilot testing to broader clinical adoption. For the full year 2025, total revenue grew 4% to $160 million compared to $154 million in 2024. Consumables revenue increased 16% to $82 million, primarily due to an increase in our installed base. Instrument revenue decreased 18% to $53.8 million, primarily driven by lower Revio system shipments, partially offset by an increase in Vega systems as we commenced shipping this platform late last year. Service and other revenue increased 36% to $24.2 million, primarily driven by an increase in service contract revenue related to Revio. From a regional perspective, Americas revenue decreased 8% to $72.8 million, Asia Pacific revenue increased 6% to $43.2 million, and EMEA revenue increased 27% to $44 million, with similar trends to what we saw in Q4. Moving down the P&L, non-GAAP gross margin was 40% in the fourth quarter of 2025, compared to 31% in the fourth quarter of 2024. This significant increase was driven by product mix, with consumables contributing a higher percentage of our total revenue, as well as the realization of cost improvement initiatives for Revio and Vega, and continued high yields for Revio SMRT Cells. We also saw an improvement on an annual basis with full year 2025 non-GAAP gross margin of 40%, compared to 33% in full year 2024. Non-GAAP operating expenses were $56.2 million, including $8.6 million of non-cash share-based compensation, compared to $68 million, including $14.8 million of non-cash share-based compensation in 2024. This 18% reduction year over year was largely driven by lower headcount due to our restructuring efforts and lower non-cash share-based compensation. We have been highly disciplined in our spend as we sharpen our strategic focus on long-read sequencing, including the recent sale of our short-read assets. On a full year basis, non-GAAP operating expenses were $229.9 million in 2025, compared to $289.2 million in 2024. Operating expenses in full year 2025 included non-cash share-based compensation of $37.7 million, compared to $65.3 million in 2024. Regarding headcount, we ended the year with 485 employees compared to 490 at the end of the third quarter of 2025, and 16% lower compared to 575 at the end of 2024. Non-GAAP net loss was $37.6 million in the fourth quarter of 2025, representing $0.12 per share, compared to $55.3 million in the fourth quarter of 2024, representing $0.20 per share. Non-GAAP net loss was $158.8 million in full year 2025, representing $0.53 per share, compared to $228 million in 2024, representing $0.83 per share. We ended the year with $279.5 million in unrestricted cash, cash equivalents, and investments, compared with $389.9 million at the end of 2024. Turning to our outlook for 2026, we expect full year revenue to be in the range of $165 million to $180 million, representing approximately 8% year-over-year growth at the midpoint. At the midpoint, we assume consumables remain the primary driver of growth, supported by increasing utilization by our clinical and hospital customers as well as further expansion of the Revio and Vega installed base. While we are encouraged by the recent NIH budget updates, academic customers remain cautious given ongoing uncertainty around funding visibility and grant timing. Our outlook assumes a continuation of the muted academic spending environment we have experienced over the last several quarters, particularly in the Americas. We are not expecting a broad recovery in capital spending for these academic customers. Moving down the P&L, we expect to see a 100 to 400 basis point improvement in non-GAAP gross margin in 2026. Factors that will positively impact gross margin will include higher consumables mix, and the introduction of SparkNex in the second half of the year. In spite of continued Revio and Vega cost reduction initiatives, there may be potential headwinds with the compute associated with these instruments, as we are currently seeing significant volatility with components such as memory costs. We expect non-GAAP operating expenses to slightly improve compared to 2025 levels as we continue to tightly manage operating expenses and invest in our next-generation sequencing. With improving revenue mix, expanding gross margins, and disciplined cost management, we believe the company remains on a clear path towards cash flow breakeven. I will now hand the call back to Christian for closing remarks.
Christian Henry: Thanks, James. 2026 is shaping up to be an exciting year for PacBio. We are focused on enabling HiFi to become the sequencing standard of care through five key initiatives. First, we plan to dramatically improve the economics of HiFi and increase penetration across our key markets through the successful launch of our SparkNex chemistry and multi-use SMRT Cells. Second, we plan to accelerate clinical adoption across rare disease, oncology, and carrier screening, supporting new as well as our existing customers as they ramp up utilization of HiFi. Third, we plan to continue to enable population-scale sequencing studies. We have hundreds of thousands of samples in various stages of negotiation and approval, and while these studies have long sales cycles, we expect these studies to drive our growth in the longer term. Fourth, we are enabling the next-generation informatics by scaling multi-omic HiFi data and applying AI to unlock unique biological insights. For example, several of our customers have been awarded funding through Google's AI for Science initiative, where researchers are leveraging HiFi data alongside AI to address some of the most complex challenges in biology. We believe the depth, accuracy, and completeness of HiFi data amplified by AI positions us to unlock new biological insights. And finally, we continue to drive innovation, which is part of our core mission. We look forward to updating you on our progress across each of these initiatives as we progress through the year. Additionally, we are excited to participate in the upcoming AGBT conference in the coming weeks and hope to connect with many of you there. With that, we will now open it up for questions. Operator?
Operator: Thank you. We will now begin the question and answer session. And today's first question comes from Tycho Peterson at Jefferies. Please go ahead.
Madeline Mollman: Hey team, this is Lauren on for Tycho. A few from me. Starting with Revio pull through, it was pretty stable year over year. Maybe how should we think about pull-through progression as Spark chemistry lowers per-sample cost? Will that lower cost drive higher utilization, or does it risk pulling revenue forward? On consumables, another record quarter for you guys. What gives you confidence that this growth is structurally sustainable versus being driven by a smaller cohort of power users? And then lastly, going forward, how do we think about steady-state mix between Vega and Revio? And what does that imply for average system ASPs? Thanks.
Christian Henry: Wow, Lauren, you gave us a lot to start off with. Thank you for the questions. We will start with Revio pull through. So pull through was, you are right, it was pretty stable from year to year. And my expectation is that the opportunity provided with SparkNex will lower the price per sample but is likely to increase utilization on the systems and certainly expand our market share. And so when you think about it, what we are trying to accomplish is, through a more attractive price, the ability to win larger, larger scaled studies would drive both instrument sales as well as expanded utilization within those fleets of instruments and drive broader adoption across the entire base. So at the end of the day, the focus is on driving the revenue up, which would effectively have pull through kind of in a similar range, anywhere from $225,000 to $250,000 is what we have been talking about. I do not think it will change that much. You may see some short-term dislocations depending on the timing of when samples come in and which customers are adopting. So we will be watching out for that over the course of the year. But on balance, this is a fundamentally enabling technology that allows us to increase our footprint and drive consumable revenue up at the same time, and of course expand our gross margin because this is one of those rare occasions where the product actually is very beneficial to customers but it is also expanding our gross margin on consumables. So really important. When you start to think about your second question about kind of structural growth, we certainly see that the market is going to be expanding because of the nature of HiFi first and foremost, and then now we are at a point where we have the economics in place where we can be highly competitive with short-read technologies and other long-read technologies. And this will enable us to expand both the Revio and the Vega sales because we will be introducing SparkNex to Vega later in the year. We are going to first focus on Revio and then move to SparkNex. And then finally, with respect to the mix, Vega and Revio reach different parts of the market. So Vega is the focus and the strategy with respect to Vega is land and expand, so to speak, introducing new customers to HiFi technology. The application set with Vega is in microbiology and metagenomics and different shorter, smaller genomes. And so we are seeing actually really strong traction there, and it is highly competitive against other long-read competitors. And so we are seeing some opportunities with that. And then of course, Revio is focused on kind of the discovery market as well as our clinical opportunity, particularly with respect to whole genome sequencing and then larger targeted sequencing panels like the PureTarget panel. And so I would expect us to continue scaling Vega and Revio in 2026, both growing in terms of number of units shipped year over year, both of them moving towards different parts of the market. And then ultimately, we will launch a third system that will be even higher throughput for the highest scale labs. So hopefully, I captured most of your question there.
Madeline Mollman: No. That was super great. Thanks.
Operator: Thank you. And our next question comes from Subhalaxmi T. Nambi with Guggenheim. Please go ahead.
Subhalaxmi T. Nambi: Hey guys, thank you for taking my question. What should we expect OUS to do this year from a clinical growth perspective? And did you see any budget flush, particularly from Europe in Q4 2025?
Christian Henry: Subbu, can you start with the first part of your question again? It came in a little bit garbled. I kind of got the budget flush part, but not the first part.
Subhalaxmi T. Nambi: What do you expect, like, outside of the United States to do this year from a clinical growth perspective?
Christian Henry: Okay. So clinical growth and then budget flush. I will start with the easy one. Budget flush, we really did not see a lot of budget flush at the end of the fourth quarter. I mean there is always a little bit of opportunistic purchasing. I can think of one order where we were able to capture a large consumable PO from a competitor actually, and in that process got a new customer. So that was actually a really exciting win for us. But we did not see a lot of actual budget flush. And then with respect to clinical growth, you saw that we had really strong growth in 2025. The base was a little bit smaller, so the 55% is exciting; it is off of a smaller base, so we have to be mindful of that. But when we look into 2026, we see very strong growth in the clinical side of our business, particularly in rare disease and whole genome sequencing, and largely in EMEA. We have really seen them start to move from the pilot phases to actual production. And you have seen press releases from folks like Radboud who are expanding from 5,000 to tens of thousands of samples. And there are lots of examples of that where we are seeing data in the market, and I think that will be a driver of clinical growth. Of course, some of that is enabled through the Spark. So we have to balance out the more favorable pricing with respect to accounts like that, for example. So it is going to be a bit of a balancing act there. We are also seeing strength in our targeted portfolio as the PureTarget platform and assay continues to gain more traction, and we are seeing some of the higher throughput targeted customers expand their fleet. We saw that in the fourth quarter, and I think that will help us scale clinical consumables in 2026.
Subhalaxmi T. Nambi: Okay, helpful. And a quick follow-up, not really follow-up, a separate question altogether. When thinking about international expansion for multi-use SMRT Cells, how are you considering rollout in tandem with the U.S. if your aim is to keep elasticity contained this year?
Christian Henry: Yeah, it is a good question, Subbu. So we started the beta program just with accounts in the United States, really so that we could keep tabs on the users and understand how their workflow was working and all of that. And now we are very pleased with how it has gone. I mean, we are seeing 25% increase in yield, which is amazing for customers. And then, you know, the workflow, you can see the consistency of yield from run to run, from the first use to the second use. So we are expanding our program over the next couple weeks into EMEA and ultimately APAC. And then over the course of the year, we will just continue to roll out the product as customers have the samples that are ready to go. So we are going to try to monitor and meter out this rollout so that we can get as many samples onto the systems as possible at the favorable pricing so that we can see continued consumable growth. And so we are going to be in this beta early access program until the late spring, early summer, and then ultimately it will be rolled out to everyone. So we have a good plan. The innovation is working really well, and we are going to start heading into the second phase of beta and the scale-up phase over the rest of the first quarter and into the second quarter.
Operator: Thank you. And ladies and gentlemen, we ask that you do please limit yourself to one question. And our next question today comes from Douglas Anthony Schenkel at Wolfe Research. Please go ahead.
Christian Henry: Good afternoon. Thank you for taking my questions. So, you are continuing to successfully reduce OpEx spending. Where is the biggest opportunity to do that this year without hindering the pace of recovery? And just one follow-up and I will get back in the queue. I think in your prepared remarks, you called out, I think you said industrial weakness. If so, is that new, and if so, what is it? Is that ag or synbio, both, something else? Could you just tell us what is going on there? Thank you.
Christian Henry: Yes. Hey, Doug. So just to clarify, I do not think we called out any specific industrial weakness per se. What we are trying to say is that that part of the business, consistent with the academic world, has not been very strong. And what that really is is kind of the agricultural business. And so is that what you were referring to in your question? Yeah. That makes a lot of—
Douglas Anthony Schenkel: Alright. Sorry about that, Christian. Yeah. Thank you for clarifying. No. It is fine.
Christian Henry: No. I just wanted to make sure I got the question right. And then with respect to OpEx, we have worked really hard to take a lot of cost out of the business. And I think in 2026, we will continue. First, we will get the full-year benefit of the reductions in force that we saw in 2025, and so that will naturally give us a bit of a tailwind to start the year off. But the next places to focus are we are going to be focusing on managing G&A expense, managing R&D, staying focused in R&D. So we have a few very critical programs going on, and we are going to make sure that they are very well funded and we have all the people we need to be successful. But we are going to be very thoughtful and mindful about adding new priorities to the equation, and that will help us save money because we will be able to save on non-headcount related spend and things like that. Of course, the counterbalance is we are in the meat of developing the next-generation platforms, and that comes with a lot of expense—costs for prototypes and alphas and betas, things like that—which we will see some of this year. So we will be focused on overcoming that. And then finally, a dollar is a dollar. So we are really focused also on the gross margin line and reducing production costs. And so we are insourcing more, which allows us to leverage our overhead more effectively and therefore reduce costs overall, which will help expand our gross margin. So it is really a concerted effort across the organization. And I also think there is some opportunity in our marketing organization to be mindful about investing in the right events to make sure that we have the presence we need, but also make sure we get ROI on the events. We will be expanding the commercial, the sales organization a little bit this year because I do think that there is opportunity for us. And so that gives you a bit of a broad tour of operating expenses. We also have some ongoing litigation that we will be spending on this year that will be incremental to last year, and this is from litigation that has been going on since 2019, long before I even got to the company. But that gives you a sense of expenses. I do think we are going to be able to do better than we did in 2025. And the focus is, of course, getting to breakeven.
Operator: Thank you. And our next question today comes from Kyle Alexander Mikson at Cantor. Please go ahead.
Christian Henry: Hey, Kyle from Cantor. Thanks guys for the questions.
Kyle Alexander Mikson: I want to follow—I was trying to follow the cost. So first, on the short-read divestment last week, was there any costs taken out of the P&L from that move? Based on the 8-Ks with the pro forma results, seems like there is a tailwind to gross margin, for example. So if you could just dive into that, it would be helpful. And then secondly, there was a slide in the earnings deck, I think it is slide nine, comparing long-read to the standard of care at a beta site, a clinical customer. You got performance better with respect to diagnostic yield and turnaround time. I am just curious if cost improves when you go to long-read from standard of care. Thanks.
Christian Henry: Yeah, Kyle, great questions. It is great to catch up here. So I will start with the short-read business. There will not be substantially more costs taken out. We covered in our reduction in force last year, we eliminated a lot of those costs. We are still supporting the Onso system through the year, and so we will have costs associated with that as we support that, and then as that hits end of life, we will have savings there, but that will likely be more in 2027. You are right that there is a tailwind to gross margin in the sense that the Onso platform was not a very high gross margin instrument relative to the rest of our portfolio. But we did not really sell many, if any, Onsos in 2025. So on a year-over-year basis you are not going to see any incremental tailwind from that. And then the long-read business with respect to diagnostic yield—that slide is really meant to show how not only is diagnostic yield improving with long-read sequencing, and that is what we have been, all of us, working on for the last several years, to show the power of HiFi because it is such a unique data type and you get so much information—but on top of that, customers like Radboud now are taking six or seven other tests and combining them into one genome and using one HiFi genome to answer all those questions. And so, as a result, you are seeing faster turnaround time, better diagnostic yield, and lower cost. And this is going to become a much broader message that you are going to hear a lot this year, especially as we launch SparkNex. Not only are you getting better answers, you are actually getting better answers faster and cheaper, and it is a real opportunity for us to go to these hospitals, clinics, labs, and demonstrate that not only is it the direct comparison of short-read versus long-read sequencing or other long-read sequencing players, but it is really the holistic approach to how much does it cost to get an answer and how much we can benefit. And so that is really exciting. And we are in the early days of that. But now we have examples of customers that are doing that, and so we are going to amplify that and help other customers kind of achieve the same result. Very exciting for us.
Operator: Thank you. And our next question today comes from David Westenberg at Piper Sandler. Please go ahead.
Christian Henry: Hi, thank you for taking the question. So—
David Michael Westenberg: I just—it is a kind of a recurring theme about the elasticity of demand, but you noted cumulative current customer gigabases growing at 60% year over year. It is a great number. With the promise of a sub-$300 genome with SparkNex, I want to look at the changes in dynamics. I am of the people that does believe in elasticity of demand. It always has been in the past, but that is not always linear. So how should we think about SparkNex balancing the elasticity of demand with the price headwind over the cadence of kind of the next few years? Thank you very much.
Christian Henry: Yeah. That is an excellent question, and it is something that we are very focused on. You know, first thing I will say before we get into some of the nuance, is that the reality is that the samples exist already in the market. So when you think about elasticity of demand, what you are really thinking about is substitution of HiFi in place of other technologies that are already existing. And that really is a bit different because the samples are generally available on day one. Now, each customer will have a ramp phase and a conversion time horizon, so there will be some variability. But it is different in the context of other elasticity curves that we have all seen in this space for a very long time. That said, I think you phrased it exactly right. It is not always going to be linear, and in the short term, you may have periods where the samples are not available yet at scale relative to the price. But over the course of a year, two years, like you have mentioned, you certainly will see substantial elasticity of demand, and you will see not only more gigabases being generated, but this will help drive more instrumentation sales, and as we get to higher throughput instrumentation, very much higher levels of consumable pull through, which will be at substantially higher gross margin. And so on balance, it really adds to the whole portfolio of what PacBio can deliver, starting with a better genome and enabling the customers to scale up both in discovery mode and in clinical mode with the whole genome, as I talked about in the last question. And you see all of that coming together with the ability to substitute long-read sequencing in a whole-genome context for the exome and for other short-read approaches. And all of that on balance gives us an opportunity to really generate dramatically more demand. But it will be lumpy over the course of the first part of the launch of SparkNex. And one of the ways we are trying to manage that is by having a very controlled early access phase to make sure customers have the samples ready to go so that they can better utilize their systems and then help us drive our consumable revenue in the right way. It is tricky, but it is a very exciting time for us because since we announced SparkNex at ASHG, the nature of the conversations has just fundamentally changed. Part of the reason why we had such a nice fourth quarter, I think the year 2026 is set up to have a strong result.
Operator: And our next question today comes from Jack Meehan at Nephron Research. Please go ahead.
Jack Meehan: Thanks. Good afternoon, guys. I had two modeling questions for you. The first is, is there any color you can share on the first quarter, just expectations for pacing in the year? And then, James, on gross margins, it is good to see the traction. Wanted to see if you could give a little bit more color on the component volatility you flagged, just what is driving that and what is reflected in the guide? Thank you.
Christian Henry: Yeah. So maybe, Jack, good to hear from you. I will start with the Q1, and then, James, why do you not take the gross margin part of the response. With respect to Q1, we do think Q1, consistent with seasonal patterns, will likely be a little bit lower than Q4, but certainly above Q1 2025. And so we expect to be growing and we expect to be expanding. We think we will have continued strength in Revio, and Vega should get off to a good start. And I do think we are being cautious about how we are thinking about the academic and government spending. And I think although the budget has kind of improved the outlook a little bit perhaps, it is a long way from the budget to the actual dollars getting spent, especially with respect to acquiring new capital equipment. And so we are going to be pretty cautious in that. We do think that Europe is going to continue to be strong. I think on this call a year ago, I said Europe was going to be our strongest region, and quite frankly, they exceeded my expectations. I would not be surprised to see Europe continue to be strong in 2026 and perhaps our strongest region again. We will see. I was just at the Europe and APAC sales meeting, so there is a little bit of competition, which is really good to see as a CEO. But I do think you will see Q1 probably be a little bit lighter than Q4 due to seasonality, and then we will grow from there. And we set guidance in a place assuming that the academic and government funding does not come back in any meaningful way. We figured that is the best place to start. We do think our growth will be driven by the expansion of the existing clinical accounts that we have won over the course of 2024 and 2025 and new accounts coming into the fold. So that will be opportunities for more Revio placements and certainly some Vega placements. We do think we are going to have a strong year with respect to Revio. We are seeing a lot of interest and the funnel growing because, quite frankly, SparkNex is enabling a new level of scale that I think Revio will fit really well. So hopefully that gives you a little bit of color on the outlook, and we are pretty excited to get going here. I think the quarter is off to a reasonable start. And, you know, James, you want to talk about gross margin?
James Gibson: Sure. So, Jack, as you pointed out, one of the things that we—when we gave our guide of 100 to 400 basis points for 2026—one of the things we highlighted is the impact of some of the memory shortages that we and a number of companies are seeing right now as we look to lock in agreements with our suppliers. As you probably know, since we provide such robust data, we do have compute as a significant component of our cost of our Revios and, to a lesser extent, Vegas. So as you think about our guide, we did bake that impact into our guide. I think as we think about the lower end of the guide, that would be a consistent and continuous impact on compute. We are hoping that is not the case. We are hoping that, with a lot of things, it will stabilize as we get into the middle of the year, and that is baked into the 100 to 400 basis point increase.
Christian Henry: Okay. Yes. Thank you. And our next question comes from Dan Brennan of TD Cowen. Please go ahead.
Dan Brennan: Great. Thank you. Thanks for the questions. Maybe just a couple. On placements and pull through, did you guys give color on how to think about that? That would be helpful. I know you talked about Revio pull through being consistent, but just wondering if there is any more color across Vega and Revio. The burn, like, we could probably back into the burn ourselves; is there a burn that you guys are targeting in 2026? And then the final one would just be, you know, with EMEA clinical surging and Christian, you sound like it is going to continue to be strong. What will it take to see U.S. clinical growth really accelerate? Thank you.
Christian Henry: Yes. Thanks. Thank you for the question, Dan. So I think with respect to placement and pull through, I do think we believe that the $225,000 to $250,000 range for Revio for pull through continues to be a pretty realistic place for us to be. We will see how SparkNex obviously impacts that in the short term. We do think placements for Revios will be consistent, if not a little bit better than 2025. And then, if you look at Vega, we have not really talked a lot about Vega pull through, but we now have 147 systems out there. And based on what we are seeing, it is likely that pull through sits in the $25,000 to $40,000 range over time. And right now, it is about $25,000, give or take, so it is a little bit at the lower end of that range, but I do think it has a bit of upward potential. But I think it is going to be kind of that $25,000 to $40,000. You are going to see lots of instrument placements. We do expect instrument placements to grow in the Vega product line this year over 2025 levels, and the sales funnel supports that. The other thing that is great about Vega is we have actually had much faster sales cycles and many more intra-quarter leads turning into orders than, certainly, Revio, but actually, in general, at a nice clip. So we are pretty excited about that. With respect to the burn for 2026, we are going to be working to try to keep the burn relatively consistent, but the challenges we are going to face are really around alpha and beta builds of the next-generation system driving some more spend than we otherwise would. Some of those units will ultimately be capitalized in inventory and sold, but cash would likely go out the door this year for some of that. So I would expect burn to perhaps be just a touch higher than this year because of that. But it will depend on how many end up getting capitalized in inventory and sold, which will then generate revenue, of course, but the timing—you will have to manage that. And then how disciplined we can be around managing operating expense so that we can balance those costs so that we keep our burn under control as we try to push towards being cash flow positive. And then finally, with respect to EMEA and the U.S., the U.S. market is much more focused on the targeted sequencing panel. That is where our clinical growth has been so far, at least in the U.S. markets, particularly with the bigger laboratories. And they have been mostly in research and validate mode. And so as those products start to get to market, we should see real growth there with some of the bigger players. And then the children's hospitals continue to be the vanguard, so to speak—like Children's, for example—with respect to whole genome approaches. And I do think the recent demonstrations of favorable economics, in addition to faster turnaround time and higher diagnostic yield, are driving interest in the United States. And those accounts—there is definitely better funding and ability there. So it is up to us to go capitalize on that this year, and we will see how we do.
Operator: Thank you. And our final question today comes from Mason Owen Carrico with Stephens. Please go ahead.
Mason Owen Carrico: Hey, guys. Thanks for fitting me in here. So are you guys expecting multi-system placement orders to become more common in 2026? And if so, should we expect that to have an impact on ASP via discounts? Are you able to generally maintain pricing for those orders?
Christian Henry: Yeah. It is a good question, Mason. And the truth is that those are difficult and unpredictable. So I cannot really give you that they are going to be consistent every quarter or how many we are going to get. But what we do see is that clinical customers—customers that want to do whole genomes in a clinical context—are generally going to buy multiple Revios because they want to have redundancy at a minimum, and then they want to scale up. One thing we did see in 2025, and I think we will continue to see, is customers adding to their capacity and scaling on the Revio system. And so we saw that in a number of different accounts in 2025, and I think that will certainly continue in 2026. Both of those have an impact on ASP. And so we are thinking holistically about driving the lifetime value of revenue for those accounts. And the faster we can get them running consumables, the more valuable those accounts are. And so oftentimes we will make a bit of an ASP trade-off for accelerating consumables. And also on top of that, for customers that are adding to their fleets and expanding, obviously our cost structure to serve those accounts goes down, which is certainly useful, and volume goes up, which gives us more of that higher gross margin consumable revenue. So it is a long-winded answer to basically say the timing of multi-system orders will continue to be variable, and we will see how that goes over time. But I do believe we are seeing customers add to their fleet, and those fleet additions are very, very positive for the company, both from a revenue perspective, overall lifetime value to customer, and then improving and driving that gross margin up, and also really the operating margin associated with that particular account. We do not talk about that a lot, but if I can have one sales rep managing $15 million of revenue out of an account versus $5 million, that obviously pays dividends for us. And so that is how we think about it, Mason. Hopefully that helps.
Operator: Thank you. And that concludes our question and answer session. I would like to turn the conference back over to Christian Henry for closing remarks.
Christian Henry: Alright. Well, we thank everyone for their time today, and we hope to see some of you at AGBT in a couple of weeks here, and then we have other conferences in March that we will be attending. And as usual, you can always reach out to us if you have questions offline. Thank you everyone for your attention, and have a great evening.
Sam: Cheers.
Operator: Thank you. That concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful evening.